Operator: Good morning. My name is Lisa and I'll be your conference operator today. At this time, I would like to welcome everyone to the Mohawk Industries Fourth Quarter 2019 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. [Operator Instructions] As a reminder, ladies and gentlemen, this conference is being recorded today, February 14, 2020. Thank you. I would now like to introduce Mr. Ken Huelskamp. You may begin your conference.
Ken Huelskamp: Thank you. Good morning everyone and welcome to the Mohawk Industries quarterly investor conference call. Today, we'll update you on the company's results for the fourth quarter of 2019 and the full year as well as provide guidance for the first quarter of this year. I'd like to remind everyone that our press release and statements that we make during this call may include forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995 which are subject to various risks and uncertainties, including but not limited to those set forth in our press release and the periodic filings with the Securities and Exchange Commission. This call may include a discussion of non-GAAP numbers. For a reconciliation of any non-GAAP to GAAP amounts, please refer to our Form 8-K and the press release in the Investors section of our website. The key speakers today are Jeff Lorberbaum, Chairman and Chief Executive Officer; Chris Wellborn, Chief Operating Officer; and Glenn Landau, Chief Financial Officer. I will now turn the call over to Jeff for his opening remarks. Jeff?
Jeff Lorberbaum: Thank you, Ken. Our fourth quarter adjusted results were as we expected with sales flat to last year, operating income of $205 million or 8.4% of sales and EPS of $2.25. For the year, our sales were $10 billion, adjusted operating income was $938 million or 9.4% of sales and EPS was $10.04. Our cash generation remained strong with operating and free cash flow for the quarter of about $440 million and $300 million. For the year, operating and free cash flow were about $1.4 billion and $870 million. Our leverage is approaching historical lows, which provides us the flexibility to pursue additional opportunities. In the period, we bought back approximately $23 million of stock for a total of $375 million since authorized. We anticipated our business -- as we anticipated, our business remained challenged by soft demand, greater competition and reduced production volume. In the US markets continued to be influenced by the strong dollar and the impact of LVT on other product categories. Consumer confidence remained high and lower US interest rates are positively influencing new and existing home sales. US tariffs on clickable LVT from China were ascended in the fourth quarter and market pricing has declined for these products. Imports of ceramic tile from China dropped off substantially in the fourth quarter and shipments from other countries have not offset, which we believe is due to soft demand and a reduction in US ceramic inventories. Competition has increased in our global markets impacting our pricing and mix as we leverage higher investments in sales and marketing to drive growth. Many countries where we operate are stimulating their economies with lower interest rates to encourage greater consumer spending and economic growth this year. In the near term we still anticipate continued pressure in our markets and product categories. Throughout the period we implemented changes to increase sales and reduce costs. We've enhanced our LVT manufacturing in the US and Europe and realigned our US carpet operations. We have decreased our ceramic production and inventories and are taking out a wood flooring plant in the United States and in Europe. We are reducing the complexity of our operations, improving processes to reduce costs and increasing automation to improve efficiencies. We continue to improve the productivity and volume of our new LVT, US countertop, Russian sheet vinyl and European carpet tile investments. Our acquisitions in Australian and Brazil are installing state-of-the-art equipment that will expand their product portfolios. We are introducing new design and performance innovations to enhance our market position and broaden our customer base. To promote both new and existing products we're making higher levels of sales and marketing investments. For a review of our financial performance during the period, I'll turn the call over to Glenn.
Glenn Landau: Thank you, Jeff and good morning, everyone. Moving right into our financial performance and year-over-year bridges, as Jeff shared in the fourth quarter, total Company net sales were $2.4 billion, down 1% compared to prior year as reported and off approximately 2% on a constant basis, which we define as adjusted for FX and days. For the full year 2019, total Company net sales were flat compared to 2018, as reported and up 2% on a constant basis. Organic growth in the legacy businesses was down 3% in the fourth quarter versus prior year on a constant basis and down 2% for the full year compared to 2018, also on a constant basis. In terms of earnings, the Company's adjusted operating income was $205 million in the fourth quarter, or 8.4% off 140 basis points from the fourth quarter of last year, largely due to weaker volume and price mix, only partially offset by improved productivity including lower start-up costs. With that said, the Company's year-over-year decline in margins improved on a sequential basis by 100 basis points, which now represents four consecutive quarters of improvement. Bridging from the prior-year fourth quarter adjusted operating earnings were impacted by number one lower overall volume of $10 million, largely in our Global Ceramic and Flooring North America segments and associated market-related downtime costs of $4 million, all taken in Global Ceramics to match our supply with our demand. Number two, a modest increase in inflation of $3 million due to higher wages and benefits, partially offset by lower raw materials. Number three an erosion of price-mix of $24 million, largely in our Flooring Rest of the World segment following easing input costs, and $11 million higher spending in SG&A and other due to investments in sales talent and marketing to drive sales. Moving to the positive offset, productivity including lower start-up costs, swung positive by $16 million versus last year, due to better utilization and non-repeating one-time items. For the full year adjusted operating income was $938 million or 9.4% of sales, off 250 basis points from prior year. Staying at the enterprise level, adjusted SG&A per net sales was 19.1% in the quarter, excluding unusual items, up 180 basis points year-over-year due to higher sales, marketing and merchandising expenses to roll out new products and to grow in new markets. Inflation, acquisition, lower volume and one-time charges also impacted the quarter. For the full year adjusted SG&A was 18.4% of sales, up 100 basis points year-over-year. And just to be clear, relative to the rollback of tariffs on clickable LVT product from China, prior to tariffs we had already raised inventory significantly and have since reduced purchases in 2019 as we reduced inventory and ramped up our US production. We also have purchased from other countries in this period. So the total gross rebate amounted to $13.5 million, which is in our guidance, spread over three quarters and largely offset by inventory value on hand. Special and unusual items in the fourth quarter consisted of a $50 million charge for restructuring and integration costs of which most was non-cash and divided relatively evenly among completing US carpet realignment and rightsizing the Company's wood manufacturing footprints in Flooring North America and Flooring Rest of the World as well as a $136 million one-time tax benefit associated with the consolidation of business activities in Europe within a single operating entity to improve management and increase efficiencies, also reducing the Company's tax rate somewhat in 2019. For the full year, total restructuring and integration charges taken for actions in Flooring North America and Flooring Rest of the World were $111 million, of which approximately $41 million was cash. And as we have said, the cash cost associated with carpet restructuring of approximately $30 million will be recovered as operational savings as lower cost pass-through inventory in the first half of this year reaching full run rate in the third quarter. Adjusted EBITDA was $363 million or 15% before interest expense of $11 million. For the full year, adjusted EBITDA was $1.5 billion or 15.3%. The effective tax rate on a non-GAAP basis was 18.9% in the fourth quarter and 20.6% for the full year of '19. Finally adjusted net earnings per share was $2.25 in the quarter, down from $2.53 or 11% versus last year. And for the full year, adjusted net earnings per share was $10.04, down from $12.33 versus 2018. Now let me turn to the segments and I'm only going to speak to the fourth quarter here. The Global Ceramic segment delivered net sales of $858 million, flat versus prior year as reported, or a decrease of 1.5% on a constant basis. Looking at -- only at our legacy businesses, sales decreased approximately 4% on a constant basis. Operating income on an adjusted basis was $54 million, or 6.3% of net sales, down from a 10.1% margin last year, primarily due to increased competition and weaker demand in the US, coupled with higher inflation. So compared to last year at the segment level inflation was $16 million higher, driven by higher wages and materials and benefits, volume was off $14 million inclusive of $4 million of downtime, sales, marketing and other costs were up $5 million, price mix slipped $4 million and this was all partially offset by improved productivity and lower start-up costs of $6 million. FX in the quarter was neutral. Let's move to Flooring North America. The business showed better overall performance with sales of $936 million, down 4% versus last year as reported and down 5% on a constant basis as continued weakness in soft surfaces were partially offset by continued growth in LVT. Operating income on an adjusted basis was $69 million, or 7.4% of net sales in the fourth quarter. Bridging from last year, volume was down $17 million versus last year and accounted for the majority of the deficit. Price mix lagged prior year by approximately $6 million. Raw material cost decreases offset increases in wages and benefits, keeping inflation flat and productivity less reduced start-up costs was bettered by $6 million. Moving to Flooring Rest of the World, the segment had a solid quarter with sales of $630 million, up 2.6% versus last year as reported and 3.7% on a constant basis. Looking just at the legacy business, sales were up 1.5% on a constant basis. Adjusted operating income came in at $89 million, or 14.2% of sales in the quarter, an increase of 140 basis points versus last year in a very competitive environment, mainly as a result of increased volume. Going to the bridge, volume was better by $18 million, price mix lift by $15 million, but was largely offset by relief in overall inflation of $11 million, driven by lower input costs. Productivity including lower start-up costs was $3 million. And investments in sales, product marketing and other were $6 million higher in the quarter. FX was again neutral for the quarter. Finally, at the corporate level, expenses and eliminations drove an operating loss of $8 million with a full-year cost of $40 million. Speaking now to the balance sheet, receivables ended the quarter at $1.5 billion with days sales outstanding up due to changes in geographic and channel mix. Inventories ended the quarter at approximately $2.3 billion, or 134 days, higher in days versus prior year by approximately six days, but relatively flat in dollars as we continued to adjust our production to match our sales. Fixed assets for the quarter ended at $4.7 billion and capital expenditures of $140 million in the period, lower than depreciation and amortization, which was $154 million. So for the full year, CapEx was at $545 million lower than our D&A of $576 million as we efficiently managed our Q4 project spend in each of our segments. Total debt was $2.6 billion at the end of the quarter down approximately $200 million versus the third quarter with leverage declining to 1.6 times debt to adjusted EBITDA. Wrapping up the balance sheet is strong and getting stronger with free cash flow of $300 million in the quarter totaling $873 million in 2019 capping off a very solid year at overall cash generation. So with that, Chris, I'll turn it over to you.
Chris Wellborn: Thanks, Glenn. In our Global Ceramic segment, most of our markets faced a combination of soft demand and excess industry capacity that is compressing market prices and margins. During the quarter, our US ceramic business remained under pressure from LVT taking share and high industry inventories from ceramic purchases ahead of tariffs. Additionally, to align our own inventory levels, we meaningfully reduced production in our North American ceramic plants, which increased our cost. We have started to see some trends that should benefit our business in 2020. Compared to the prior year fourth quarter, total US ceramic imports declined 17% with Chinese ceramic imports falling 90%. Lower interest rates and improving new and existing home sales should also benefit the market this year. To improve our sales, we are rolling out multiple new products and adding sales representatives and design consultants in major markets. Our new collections aimed at replacing imports are gaining momentum. To increase productivity and reduce cost for our customers, we have streamlined ordering processes and made picking up orders at our service centers faster and easier. We continue to enhance our showrooms and galleries to better communicate the beauty and performance of our ceramic products. During the fourth quarter, we initiated manufacturing of our new click tile in multiple sizes and designs. A proprietary product has been tested in both residential and commercial applications and has received positive reviews for faster and less expensive installation that is able to be walked on the same day. We are launching click tile at our trade show this quarter and have already received commitments from major customers. We are expanding our mosaic and wall tile offerings to meet growing demand for these categories. Our quartz countertop sales continued to increase as we ramp up the productivity and throughput at our new Tennessee plant. We are developing more sophisticated visuals to enhance our manufactured quartz collections and improve our margins. Sales of our large porcelain slabs from Europe are growing and we are increasing the sales of Dal-Tile branded LVT products. In Mexico, the economy continued to face headwinds due to uncertainty around the US trade with the overall construction activity declining in the fourth quarter. We are gaining share by expanding our brands, distribution and product offerings with larger sizes, porcelain products and more comprehensive wall tile collection. We are increasing our participation in the commercial markets and enlarging our base of stores that exclusively sell our products. Despite a soft economy in Brazil, we had good sales growth during the period due to our strong brand and product offering. In December, we initiated production on a new porcelain tile line that produces larger sizes to expand our premium offering. To increase our sales in other South American countries, we are updating our showrooms and expanding distribution. The Southern European economies remained slow impacting our primary ceramic markets and industry pricing. In this environment, we increased our volume even as lagging consumer confidence reduced demand in the larger retail remodeling channel. We are expanding our activities in the commercial channels as well as outdoor products. To extend our style leadership, we are introducing new premium products with the surface structures aligned with the printed design to create more realistic visuals. Our medium priced products have enhanced our results with new sizes and visuals. Sales of our porcelain slabs grew dramatically from a small base during 2019 with the products gaining greater utilization in traditional areas as well as for countertops. We are increasing our inventories at our regional warehouses in Poland, Greece and Romania to expand our customer base with faster local service. We continue to specialize our plants by product type to optimize our cost and improve our competitive position. In Russia, we grew our ceramic sales in a soft market. Our growth was driven by our unique business model that includes the industry's most comprehensive premium offering, a national distribution network, owned and franchise retail stores and the strongest project specification organization in the industry. To further strengthen our position in 2020, we expect to expand the stores that exclusively sell our products to more than 400 locations across the country. To support our growth, we are starting up additional porcelain production to make super large sizes and a new plant to produce coordinated premium sanitary ware. In our Flooring North America segment, we have executed many initiatives to align the business with the present market conditions. We faced a challenging market with LVT growth continuing to impact sales of other product categories. As expected, our pricing and mix remained under pressure as customers traded down and lower production levels raised the cost. Lower raw material costs during the period were offset by a more competitive environment. We streamlined our infrastructure by closing three plants, consolidating high cost operations and reducing wood manufacturing. The effects of these actions will increase and flow through the inventory with full cost benefit in the third period. To reduce costs, we have implemented numerous process improvements, executed machine modifications and increased our recycled polyester production. We are leveraging automation and equipment advances to produce comparable volumes with the smaller manufacturing footprint. In the period, our residential carpet sales performed best in the new home construction and multifamily channels. Our new carpet introductions were well received at the national flooring trade show and they will be in the marketplace early 2020. We are leveraging our strengths in design and fiber technology to deliver differentiated new collections in both premium and value categories. In the luxury and super soft categories, we have extended our multi-color and pattern capabilities in our proprietary SmartStrand Silk collections. ColorMax, Mohawk's exclusive color blending technology is rapidly growing in the marketplace with its natural pallet that coordinates with wood and stone looks. We have increased our recycled polyester fiber capacity to expand our participation in the fastest growing carpet category. In commercial we are coordinating the colors and stylings of our carpet in LVT collections to enhance the design options. We have introduced award-winning collections for schools and workplaces with nature based designs. To increase our focus by channel, we are expanding our commercial sales organization and enhancing their skills. We continue to invest in new design capabilities, proprietary carpet tile backings and a material manufacturing to create greater value for customers and improve our cost. We have increased the production and speeds of our LVT operations and ongoing initiatives will further improve formulations and throughput. We are now operating at similar speeds to our European LVT operations. During the period US tariffs on click LVT were removed and the market has adjusted pricing to reflect this change. To expand our price points and highlight our unique visuals and features, we are introducing new collections for both the residential and commercial markets. Our expanded premium Pergo and Karastan collections have been well received at trade shows due to their leading visuals and styling. The virus in China is postponing some production start-ups and it could potentially disrupt some LVT service depending on when shipments resume. Sales of our waterproof laminate products are expanding across most channels and we anticipate continued market growth due to their realistic appearance durability and ease of installation. The detailed visuals and performance features of our premium laminate collections are increasingly being used as alternatives for both wood and LVT. To support higher laminate sales, we are upgrading our HDF board production to increase capacity and reduce cost. Our Flooring Rest of World segment continued to deliver strong results in the period. The segment's business is less exposed to those European countries which are having more economic difficulties. Across this segment, our investments in product innovation, cost improvements, acquisitions and new businesses strengthened our results. We are outperforming the European laminate market with our focus on premium products that are more realistic with unique features. Sales of our new laminate collection are ramping up quickly due to an enhanced level of sophistication. In the period, we absorbed higher marketing cost to support this introduction. We announced the consolidation of our wood manufacturing to our facility in Malaysia, which will improve our cost and flexibility to better service our customers. Our LVT sales grew as our new manufacturing productivity significantly improved. To further enhance our plant performance, we are implementing specific initiatives to improve throughput, material cost and waste. To utilize our growing capacity, we are introducing new rigid collections that are being well received in the retail, DIY and commercial channels. We are expanding our LVT offering to our European distribution system to broaden our specialty store penetration. Our sheet vinyl sales increased primarily from strong growth in Russia. The Russian plant is operating well and positively contributing to our results. Our European carpet tile business is expanding from a small base by increasing our sales organization and introducing higher value products to the market. Our panels business continues to perform well, as we introduced higher value products to improve our mix. We are increasing the use of recycled wood to benefit our cost and the environment. The expansion of our glue plant is operating well and is contributing positively to our results. We are also installing a second waste to energy plant to reduce our cost and increase recycling. This year our installation business had good results with higher sales volume, even as declining material costs considerably lowered market prices. In Australia and New Zealand, we had good performance. We are launching many new carpet collections in multiple fiber to enhance our residential offering. Our hard surface products had strong growth with LVT outperforming. New carpet tile collections are being introduced to support our new commercial carpet tile line that is being constructed. With that, I'll return the call to you, Jeff.
Jeff Lorberbaum: Thank you, Chris. Market conditions remain challenging across most of our businesses and geographies. In response, we are adjusting our business strategies, enhancing our product offering and restructuring operations and are increasing our investments in sales and marketing, expanding our commercial participation and enhancing both our premium and value collections. We are bringing new products innovations and categories to the market that will broaden our distribution in the new channels and geographies. Our new LVT countertop, sheet vinyl and carpet tile plants are improving their productivity as we invest to expand our customer base and sales volume. Our LVT manufacturing capacity grows with higher speeds and efficiency. We are enhancing designs and features and increasing sales of our rigid and flexible offering. We are limiting the traditional inventory build that we typically do in the first quarter as we manage our production with market demand. Taking all this into account our EPS guidance for the first quarter of 2020 is $1.90 to $2.00 excluding any one-time charges. LVT growth, exchange rate and excess global capacity continue as headwinds for our business. We are executing specific initiatives to adapt to shifting consumer preferences, changing markets and competitive pressure. For the full year of 2020, we expect that our actions to increase sales and distribution, reduce costs and enhance utilization of our new plants will deliver improved results year-over-year with performance accelerating during the second half of the year. Our balance sheet should continue to improve with ongoing cash generation and we remain focused on delivering long-term value to our shareholders. We'll now be glad to take your questions.
Operator: Thank you. [Operator Instructions] And our first question today comes from the line of Philip Ng from Jefferies. Your line is open.
Philip Ng: Good morning.
Jeff Lorberbaum: Good morning.
Philip Ng: Your comments on LBT in Europe sounded pretty promising on the manufacturing front. So I'm just curious, are you making money with that line yet. And with the success you're seeing on the manufacturing front out there, are you still on track to breakeven in North America early 2020?
Jeff Lorberbaum: In Europe, we have three lines. the two old ones are operating as we expect and are doing well. The third one is not at the level we would like it to, but it's improving and we expect it to be profitable as we go through the year as well as the US line.
Philip Ng: Okay. Any more color in terms of the timing on the US line in terms of getting profitable?
Chris Wellborn: It's going to happen during the year.
Philip Ng: Okay. And then just one last one for me on the cash flow. Glenn, you were kind enough to give us free cash flow guidance last year. Any color on how we should think about 2020, some of the big moving pieces, whether it's working capital, CapEx? And then just given your balance sheet is in really good shape and cash flow still quite strong, are you guys open to buying back more stock?
Glenn Landau: Let me speak to the first part of that and I'll just say that we had a great cash flow year and we expect cash flow to remain strong into next year and the ability to improve our balance sheet is apparent.
Philip Ng: A word about on buybacks.
Glenn Landau: On buybacks, Jeff.
Jeff Lorberbaum: The buybacks, we have $125 million left. We'll continue buying against it and we'll evaluate it when we use it up.
Operator: And our next question comes from the line of Michael Rehaut from JPMorgan. Your line is open.
Michael Rehaut: Thanks. Good morning everyone. First question, I appreciate the kind of directional guidance for the year in terms of your outlook for improved results with acceleration in the back half. I was curious as to what that assumes from a top line perspective either by segment or on a consolidated basis. But just trying to get a sense of how you're thinking about sales growth for the year and if also there would be an acceleration in the back half there.
Jeff Lorberbaum: Yes, I appreciate you like more detailed information, but we give quarter guidance and we give you a direction, but we don't detail the rest of it and we're not going to do it now.
Michael Rehaut: All right. I had to try, I guess, but appreciate that. I guess secondly you've increased or you continue to take action around some of the restructuring and this is kind of an ongoing story as you continue to adjust the conditions. We've heard about the consolidation of the carpet operations going back to be the first half of 2019 I think initially the expectations were around some of those benefits coming through in the back half of '19 and obviously as you shut those plants down, we would presume that there is some amount of cost benefit on the onset. So just trying to understand how those costs are flowing through or at least the cost savings are flowing through. You highlighted the fact that there is things that are in inventory that continue to need to be worked through. But at the same time, I would have thought that some of those cost benefits might have come even in the back half of 2019.
Jeff Lorberbaum: Like we said, Mike, really we finished the carpet restructuring largely in the back half of 2019 and due to the timing of implementation and the inventory flow through of the costs we're talking about a full run rate impact in the third quarter. Yeah, there is a slow ramp-up, but the full impact that's meaningful will be closer to the start of the third quarter.
Michael Rehaut: Okay. Great. Thanks very much.
Operator: Our next question comes from the line of Mike Dahl from RBC Capital Markets. Your line is open.
Mike Dahl: Hi. Thanks for taking my questions and for all the details so far. First question, Glenn, thanks for outlining the LVT rebates. I guess, just asking more specifically, so I guess the $0.15 roughly in terms of benefits for the year, you said spread over three quarters. How much is included in the first quarter?
Glenn Landau: The first quarter is the lion's share, but it's over three quarters. It started in the first…
Jeff Lorberbaum: It's offsetting the inventories. We have high inventories that you have with long supply chains. And so the majority of it's going to offset the price decreases that we've already implemented and as the inventory flows through they match up.
Glenn Landau: It's in our guidance, it's spread over three quarters. And like I said and like Jeff saying it's largely offset by the inventory value on hand.
Mike Dahl: Okay, that's helpful. And just the second question following up on that would be just given the price declines following the exclusions, you're saying it's offsetting the rebates in the first few quarters. But on a go-forward basis since the rebates kind of go away, the price declines, I guess, don't necessarily, how should we think about the net effect beyond the initial quarter or two where you have the offset from the rebates?
Glenn Landau: I think the way we need to think about it is they are roughly offsetting.
Jeff Lorberbaum: There is not -- there is not -- there is a large -- since we raised the inventory prior to the tariffs, the inventory that -- most of the inventory we sold in the year came from old pieces and we still have large inventories of what we've been purchasing through the period as it -- and so it's offsetting that.
Mike Dahl: Right. I guess -- sorry just where I was going with that, if market pricing has reset lower are you saying that it's only impacting the legacy inventory or is this a go-forward impact from lower market pricing as well?
Jeff Lorberbaum: The market pricing has gone down on clickable LVT and I don't see any reason it's going to change.
Mike Dahl: Okay.
Jeff Lorberbaum: And the products we're buying have gone down too. So the new prices are in line with the -- new selling prices and costs are aligned.
Glenn Landau: So to the extent we're buying it, it's pretty much offset.
Mike Dahl: Right, right. Got it, okay. Thank you.
Operator: Our next question comes from the line of John Baugh from Stifel. Your line is open.
John Baugh: Thank you and good morning. Two quick questions. One, do you have a rough guess on revenue or sales basis what your market share of the US LVT market is?
Jeff Lorberbaum: Yes. But we haven't -- we don't give out specific details on product categories.
John Baugh: Okay. Would you have a guess, Jeff as to when you see out into the future reaching parity or any kind of rough idea, timeline?
Jeff Lorberbaum: I don't understand the question.
John Baugh: Well, I presume your share of US LVT sales is lower than your share, sort of, of the flooring market in general. So my question is, when would you see Mohawk in LVT, whether it's imported or made in the US, sort of match up the shares of carpet, ceramic, laminate all put together?
Jeff Lorberbaum: It's continuing to increase, but I don't have a date when the two match up.
John Baugh: Okay. Secondly, really quickly, you mentioned imports of ceramic from around the world into the US around 17% in Q4. Could you just remind us sort of on a normal typical year, how much import as a percentage of the US consumption. Thank you.
Jeff Lorberbaum: Imports is a huge part of the ceramic market, maybe 70%, 75%, it's a huge part.
John Baugh: Great. Thank you very much. Good luck.
Glenn Landau: Thanks, John.
Operator: Our next question comes from the line of Justin Speer from Zelman & Associates. Your line is open.
Justin Speer: Appreciate it. Just wanted to start -- just to get a sense from you, because the removal of the click LVT tariff was fairly recent. But I think we understand the deflationary aspect of that in the near term, but how does that affect demand for LVT and what's your view for price and demand for the non-LVT categories in the fourth quarter and what's expected in the first quarter, kind of high level?
Jeff Lorberbaum: There are no details of that available today. Our expectation -- our guess is that LVT has approximately about a $3.5 billion part of the industry. It's growing. We think that the growth rate is slowing as the base gets bigger as we go through. It's impacting the growth rate of the other products within it as you go through. So I'm not sure we have the details that you're looking for.
Justin Speer: Okay. So I would just keep our eye on that. But I guess within your guidance, as you unpack that there is obviously some conservatism around maybe production rates slowing. And then the other element is a variable in SG&A investment. So SG&A was up about 9.5% in the fourth quarter, up 7% for the full year. I'm just trying to get a sense for what your SG&A investment will be in 2020 recognizing that you have some cost tailwinds from restructuring efforts. But you are also investing in the business. So just trying to get a sense for how much SG&A will be up or down next year.
Glenn Landau: Well, 2020 will be higher due to the full-year impact of our investments. We do expect higher sales in the second half. That's the target of these investments. We will evaluate as we go through the year and we'll adjust if necessary depending on the sales.
Justin Speer: Excellent. An the last question for me is just, I didn't catch it, but on the ceramic tile bridge, what was the price mix and what was the productivity and start-up cost elements of the bridge?
Jeff Lorberbaum: Yes, repeat the question.
Justin Speer: The bridge, the EBIT bridge that you gave, I didn't hear price mix or the productivity elements of the ceramic tile.
Jeff Lorberbaum: On the ceramic tile. So, on ceramic the price mix was slipped by $4 million.
Justin Speer: Down by $4 million.
Jeff Lorberbaum: Price mix slipped by $4 million and overall productivity and lower startups costs offset that. That was $6 million.
Justin Speer: Perfect. Thank you, guys.
Jeff Lorberbaum: So a little more comment on the SG&A. In the US, we're expanding the commercial sales forces, we're building markets for quartz countertops, roofing and LVT. In Europe, we're developing a new commercial sales organization to sell LVT, vinyl and carpet tile. We've invested in regional distributors, which we purchased our distribution and different pieces, which all the costs going into SG&A was offset by higher sales and margins. And Russia, we've talked about increasing stores. So there's a lot of activities of which those are only some of.
Justin Speer: So these are growth investments and just ultimately you're -- so you're not pulling in the range. You're digging into invest to grow and ultimately you think that'll really manifest itself in growth -- better growth in the second half. Above market growth, do you think?
Jeff Lorberbaum: I mean the markets -- we're investing to expand the areas which we think we can expand and we'll monitor as we go through the year and we also have all the new product categories and new -- the new businesses. You have to put the sales people in before you get the sales for them and the marketing monies.
Justin Speer: That makes sense. Thank you.
Operator: And due to time constraints and to allow everyone to ask a question going further please allow yourself one question. Our next question comes from the line of Matthew Bouley from Barclays. Your line is open.
Matthew Bouley: Hey. Thank you for taking my questions or question. Can you just provide a little more color on the comment you made around the -- how the virus in China is impacting the start up of LVT production and how that's flowing to you guys, because obviously you're ramping your own capacity? I guess the question is how reliant is Mohawk on this start-up capacity in China for year 2020 plants? Thank you.
Jeff Lorberbaum: The information is less than perfect at this point. They go on holiday for the new year, then the people come back. So the people are not coming back at the rate they would normally come back. There are -- some operations have started, some are in partial things and some haven't started at all. And the question is how is all that going to line up and when they're going to start. Nobody has a clear view of what it's going to be. Given we have inventories in line, we can last a while before it has any impact on the business and we're having monitor it to see what's going to happen. In our business we do buy products from other countries and we manufacture ourselves. So it has less impact on us than the rest of the industry, but the whole industry has the potential of a slower service depending upon what happens.
Matthew Bouley: Great. Thanks for the details, Jeff.
Operator: And our next question comes from the line of Susan Maklari from Goldman Sachs. Your line is open.
Susan Maklari: Good morning. I wondered if you could talk a little bit about how you're thinking of inflation and raw materials as we go through the year. I know that you said it was a $3 million benefit as it related to the consolidated business in the fourth quarter. But how are you thinking about that as we look to 2020?
Jeff Lorberbaum: The raw material prices in general, mostly the oil-related products, have come down. At the same time there is more aggressive pricing in the marketplace and we're assuming that the market prices are going to continue to reflect the decreases, mostly in the commodity categories and we're going to continue to participate in aggressive manner. We'll have to see how competition reacts. In some of the other places we had -- in Europe for instance, we had prices on our insulation boards come down dramatically, but so have the prices of the products in each. So we're assuming, given the excess capacities in the world today, that the changes will be reflected in market prices.
Susan Maklari: Okay. Thank you.
Operator: And our next question comes from the line of Seldon Clarke from Deutsche Bank. Your line is open.
Seldon Clarke: Hey. Thanks for the question. Just given all the moving parts with your various product rollouts and investments in SG&A and just how the timing of these investments relate to your production ramp, when should we expect to see some operating leverage show up on the SG&A side?
Jeff Lorberbaum: In the second half we're expecting to see some benefits from the actions we're taking and we will keep re-evaluating them and depending upon how the markets change we will continue to adjust.
Seldon Clarke: And are those -- operating leverage, are those savings tied to operating leverage or purely cost, kind of $30 million you're targeting?
Glenn Landau: The $30 million of restructuring is more about cost.
Jeff Lorberbaum: You're tying the restructuring piece with the marketing investments, they are separate.
Seldon Clarke: Right. So I'm just trying to ask like when you should start to see some operating leverage on the SG&A side.
Jeff Lorberbaum: We're expecting to see most -- more of the benefits about in the third quarter in the second half, we keep saying.
Seldon Clarke: Got it, okay. Appreciate the question. Thanks.
Operator: Our next question comes from the line of Tim Wojs from Baird. Your line is open.
Tim Wojs: Hey guys. Good morning.
Jeff Lorberbaum: Good morning.
Tim Wojs: Just a clarification. So SG&A is up and is expected to be up over the next few quarters as you're investing in to grow sales. But the gross profit was actually up in Q4 for the first time in, I think, six or seven quarters. So should we expect that that gross profit can actually grow a little bit and you're reinvesting that in SG&A now and that's really what's driving some of the year-over-year EBIT margin compression? Is that the right way to look at it?
Jeff Lorberbaum: You answer what he wants.
Glenn Landau: I think we stated broadly, we expect 2020 to improve over this year, our overall results back-end weighted to the second half and that's broad based. It's based on our initiatives and the pass-through of the costs. So SG&A is a function of that and ultimately the trend should continue.
Tim Wojs: Okay.
Jeff Lorberbaum: On the cost side, we're expecting the restructuring pieces we've done to benefit at the same time, the increased volume through the new plants should reduce the cost and help the margins in those also.
Tim Wojs: Okay. Okay. That sounds good. And then just sneaking another one in. What's the cost inflation outlook in ceramic?
Glenn Landau: Again, we've talked about that several times in ceramic and that's really overseas. That is largely some raw material, but energy costs that are driven by the Eastern European facilities and fixed government pricing.
Jeff Lorberbaum: Yeah, I think in Europe we expect maybe a little relief on some of the energy increases this year.
Operator: Our next question comes from the line of Keith Hughes from SunTrust. Your line is open.
Keith Hughes: Thanks. Questions on North America ceramic, in light of the fall in imports as you had identified, is that -- I guess my question is where does the channel inventory stand now? When do you think that will be more balanced? I know it's been out of over-inventory for sometimes.
Jeff Lorberbaum: Keith, we don't know -- we don't have the data to see the inventory exactly. What we know is that the imports, which is a huge piece of the market came down 17% in the quarter and the imports from China dropped off altogether. So we expect that it's a combination of inventories in this channel coming down and softness in the market.
Keith Hughes: Is this still something that's going to affect the first half…
Jeff Lorberbaum: It's just hard to tell because --
Keith Hughes: Hard to tell.
Jeff Lorberbaum: All we can really see is the amount of inventory coming in to the country. But we don't have a sense yet exactly the size of the inventory in the channel.
Keith Hughes: I understand. Thank you.
Jeff Lorberbaum: Thank you.
Operator: Our next question comes from the line of Michael Wood from Nomura Instinet. Your line is open.
Michael Wood: Hi, good morning. Just wanted to talk about that ceramics import data. If I look at it historically it is down considerably fourth quarter year-over-year although it's still higher than the fourth quarter in '17 and '16. So I'm just curious how you're looking at that level of imports and how you're thinking where it should be. I mean, is this a level a healthy amount of import activity currently that we can sustain?
Jeff Lorberbaum: Well, what we believe is that as you got into 2019 and when the tariffs were announced on the Chinese product prior to those going to effect there was, we believe, a significant increase in pre-buys related to that. In addition, as they replace the Chinese inventory with other countries, you had a combination of Chinese inventories in the system plus new products that they were purchasing to replace it which elevated those inventories and sort of, we believe, gave a sort of a thoughts view of how much the industry was growing. We don't know exactly last year, but we think it probably declined 3% to 5% -- would be, but it's just a guess.
Michael Wood: Okay, thank you.
Operator: Our next question comes from the line of Truman Patterson from Wells Fargo. Your line is open.
Truman Patterson: The question for me, the capacity that you all have coming online previously earlier last year, you said you had about $1.2 billion coming online in 2019 and 2020. Could you just give us an update of how much is coming online in 2020 and possibly 2021? Remind us which products and categories. And then just one item for clarification. The LVT rebate, if I'm hearing you correctly in the first quarter, it will probably be somewhere around maybe $0.10 benefit to EPS.
Glenn Landau: Well, again, what we said is that's the total rebate which will be largely offset by inventory and lower pricing. So, again, it's immaterial, but it's in the guidance.
Truman Patterson: Okay. And then the capacity.
Jeff Lorberbaum: The new plants are they -- the different pieces. We have LVT which is still ramping up that will ramp up all through this year. We have the Russian sheet vinyl plant, which is running -- it's positively helping the business now, but it still has -- it's only used about 30% of the capacity as we push it into the marketplace. We have the carpet tile business, which we're developing an entire commercial sales organization, which is also going to sell vinyl and LVT in Europe. So it's ramping up. It takes a while to develop the customers and pieces. We put in a new capacity in Brazil to put in higher end products. We have capacity in Eastern Europe to make low-end ceramic, which expands our market there, is ramping up. We have the quartz plant in the United States that's running about three shifts today, but it's building inventory and also pushing it in. Over time that would go to four shifts and the productivity and inventories -- the productivity and throughput will go up. And all of them we have to get the mix aligned because you start out selling more lower-quality products to get more volume through the plants and it's going to take time to develop those as we go through. So they're all working through they system at different rates.
Truman Patterson: Okay, thank you. Is that still about $1.2 billion that you're bringing online over the next couple of years?
Jeff Lorberbaum: I mean part of it's already on. So what's happening is, some of the upside is getting offset by decreases in our legacy businesses. So the legacy businesses have declines and it's offsetting some of the gains in the new pieces.
Truman Patterson: Okay. Okay, thank you.
Operator: Our next question comes from the line of Kathryn Thompson from Thompson Research Group. Your line is open.
Brian Biros: This is actually Brian Biros on for Kathryn. Thank you for taking my question. I wanted to ask a follow-up on the coronavirus and I guess the supply chain impact. TRG industry contacts are telling us that the supply chain has not really yet been meaningfully impacted. But if the manufacturing stoppages are extended another three to four weeks, that could then impact shipments about three to five months from now. Actually wanted to see if you guys think that logic makes sense and maybe any color on what you're hearing from manufacturers from either Vietnam or South Korea on the impact to their supply chain.
Jeff Lorberbaum: I think that's close to what we said. We said that right now it's difficult to say how fast it's going to come up that there are huge inventories in the chain over different times that it depends on each piece. So typically there is anywhere from four to seven months of inventory through the channels and the stuff coming through, and in that you have some that have low parts and some that have high parts across the industry. So depending upon what it is and each piece and how fast the part comes up, it depends on the time. There could be people on the channel with less than that and they could be impacted with a few weeks' worth of delays. The non-Chinese production and the surrounding countries, some of it or a significant part of it also uses inputs coming out of China. So if the inputs don't come up, it could affect those also. So at this point, it's really difficult to know what's going to happen and the impact. It depends on the inventory levels of any individual SKUs at this point. As most people when they buy from there, there is the Chinese New Year where they shut down. So you have the product that was bought in anticipation of that still flowing across the water coming in. And so it still comes back to how fast it's going to pick up and what's the timing of the new production is going to -- production coming up and nobody has any idea.
Brian Biros: Got it. Thanks for the color.
Operator: Our next question comes from the line of John Lovallo from Bank of America. Your line is open.
John Lovallo: Hey guys. Thank you for fitting me in here. I just want to make sure that I understand your outlook seems to imply year-over-year operating margin expansion at least in 3Q and 4Q, is that correct?
Glenn Landau: Yes.
John Lovallo: Thanks.
Operator: And our final question today comes from the line of Laura Champine from Loop Capital. Your line is open.
Laura Champine: Thanks for taking my question. If we look at your new production of LVT in the US, how competitively do you think you'll be able to price that product relative to Chinese competition and how does that influence your ability to get close to full capacity by the end of the year?
Jeff Lorberbaum: We think when it's fully optimized that we'll be able to compete with the world marketplaces. At the same time our goal isn't to sell all commodity product. Our goal is to sell value-added products that have a higher average mix which will help -- which will allow us to meet the return goals that we have.
Laura Champine: Got it. Thank you.
Operator: I would now like to turn the call back over to Mr. Lorberbaum for closing remarks.
Jeff Lorberbaum: While reacting to the market conditions, we see excess capacities in the market continuing and we'll have to continue to react to competition in the marketplaces as they evolve. There are a lot of indicators that many of the markets around the world are expecting the economies to get better and improve. We have a lot of -- a lot going on to increase the utilization of our new plants, which we think will help the second half as the throughputs go up, which will allow the cost to come down and also the mix to improve over time. We think we're doing the right things to react to the market and invest in the categories to increase our business level during these times. We appreciate you taking your time and listening to us. Have a nice day.
Operator: Ladies and gentlemen, that concludes today conference call. Thank you for participating. You may now disconnect.